Operator: Ladies and gentlemen, greetings, and welcome to the American Homes 4 Rent Third Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host for today, Nicholas Fromm, Director, Investor Relations. Please go ahead.
Nicholas Fromm: Good morning, and thank you for joining us for our third quarter 2025 earnings conference call. With me today are Bryan Smith, Chief Executive Officer; Chris Lau, Chief Financial Officer; and Lincoln Palmer, Chief Operating Officer. Please be advised that this call may include forward-looking statements. All statements other than statements of historical fact included in this conference call are forward-looking statements that are subject to a number of risks and uncertainties that could cause actual results to differ materially from those projected in these statements. These risks and other factors that could adversely affect our business and future results are described in our press releases and in our filings with the SEC. All forward-looking statements speak only as of today, October 30, 2025. We assume no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. A reconciliation of GAAP to non-GAAP financial measures is included in our earnings press release and supplemental information package. As a note, our operating and financial results, including GAAP and non-GAAP measures, are fully detailed in our earnings release and supplemental information package. You can find these documents as well as SEC reports and the audio webcast replay of this conference call on our website at www.amh.com. With that, I will turn the call over to our CEO, Bryan Smith.
Bryan Smith: Welcome, everyone, and thank you for joining us today. 2025 is quickly coming to a close, and our industry-leading results continue to reinforce the benefits of the AMH strategy, which is centered around portfolio optimization, operational execution, and a prudent approach to capital management. During the third quarter, we saw solid contribution from all areas of the AMH platform, driving Core FFO per share growth of 6.2%. Due to our strong third quarter results and updated outlook on the full year, we increased our Core FFO per share guidance by $0.01 to $1.87 at the midpoint, representing growth of 5.6%. In this last stretch of 2025, our focus is on building occupancy and gaining momentum to position the portfolio for strength heading into 2026. Fundamentals in the single-family rental industry continue to benefit from favorable population demographics within the millennial cohort and a growing need for high-quality housing. The AMH portfolio continues to capture this demand given our portfolio's high-quality assets in superior locations with a focus on highly desirable single-family detached homes. Turning to the third quarter. We delivered solid Same-Home core revenue growth of 3.8%, driven by Same-Home average occupied days of 95.9% and new, renewal, and blended rental rate spreads of 2.5%, 4%, and 3.6%, respectively. On the expense front, the team's focus on controlling the controllables kept Same-Home core operating expense growth muted at 2.4%, leading to Same-Home Core NOI growth of 4.6%. As we exited the third quarter, we saw a tapering of activity that drove October Same-Home Average Occupied Days to 95.1%. Preliminary new lease spreads of 0.3% were balanced by continued strength in renewal rate growth of 4%. Given the heightened focus on monthly updates, it is important to mention that our internal dashboards indicate that we have reached an inflection point in seasonal leasing activity. Leasing velocity has improved over September levels, and this, coupled with benefits from our lease expiration management initiative positions us to close out the year with momentum. Turning to our growth programs. We remain focused on portfolio optimization and prudent capital allocation. This year, we are on track to deliver approximately 2,300 homes, of which 1,900 are wholly owned. As a reminder, development is being funded by internally generated cash, incremental debt capacity from growing EBITDA, and recycled capital from our disposition program. Despite the headlines of a slowdown in MLS activity, we continue to see great success selling nearly 1,200 homes to end-user homebuyers year-to-date. This enables us to accretively deploy disposition proceeds into development, driving residential leading earnings contribution outside of our Same-Home pool while also continuing to improve the quality of our portfolio. As we begin to shift our focus to 2026, we expect a similar number of deliveries from the development program next year, maintaining strategic sizing of the program to be funded with internally generated capital and incremental debt capacity. Outside of development, we continue to review thousands of assets each month across all of our markets, but bid-ask spreads are still too wide considering the current cost of capital. To close, our strong year-to-date performance is a direct result of the enduring AMH strategy and outstanding execution from our teams. Our industry-leading Core FFO growth guidance reflects earnings contribution from all areas of the business and maintains our position at the top of the residential sector. With that, I'll turn the call over to Chris.
Christopher Lau: Thanks, Bryan, and good morning, everyone. I'll cover three areas in my comments today. First, a review of our quarterly results; second, an update on our now fully unencumbered balance sheet; and third, I'll close with commentary around our 2025 guidance, which was increased for a second time this year in yesterday's earnings press release. Starting off with our operating results. This quarter was another example of the power of the AMH strategy and our ability to create value and grow earnings across all areas of the business. For the quarter, we reported net income attributable to common shareholders of $99.7 million or $0.27 per diluted share. On an FFO share and unit basis, we generated $0.47 of Core FFO, representing 6.2% year-over-year growth and $0.42 of Adjusted FFO, representing an impressive 9.1% year-over-year growth. In addition to our strong execution this quarter, we've now received the majority of our final assessed property tax values, which landed favorably compared to our initial expectations in several states, notably Texas. Additionally, the team was highly active on the appeals front this year, filing over 24,000 individual appeals with a record level of success. All combined, we now expect full year 2025 property tax growth to be in the high 2% area, which has been positively reflected in our updated full year outlook that I'll talk about shortly. Turning to investments. For the third quarter, our AMH development program delivered a total of 651 homes to our wholly owned and joint venture portfolios. This was on track with our expectations and continues to demonstrate our unique ability to accretively redeploy capital from our disposition program. During the quarter, we sold 395 properties, generating approximately $125 million of net proceeds at an average economic disposition yield in the high 3%. Next, I'd like to turn to our balance sheet and recent capital activity. At the end of the quarter, our net debt, including preferred shares to adjusted EBITDA was down to 5.1x. Our $1.25 billion revolving credit facility had a $110 million drawn balance, and we had approximately $50 million of cash available on the balance sheet. Importantly, as we announced previously, during the quarter, we paid off our final securitization 2015-SFR2. Our balance sheet is now 100% unencumbered, marking an exciting milestone in AMH's history. Additionally, all debt other than our credit facility is fixed rate, and we have 0 maturities until 2028. And next, I'll cover our updated 2025 earnings guidance. As I mentioned earlier, we now expect full year same-home property tax growth in the high 2% area. And when combined with our team's continued execution, controlling the controllables on expenses, we have lowered our full year Same-Home Core expense growth expectations by 50 basis points to 3.25%. In turn, this translates into a 25 basis point increase to the midpoint of our full year Same-Home Core NOI growth expectations to 4%. And when further combined with our modestly improved outlook on full year net interest costs, we have increased the midpoint of our full year 2025 Core FFO per share expectations by $0.01. Our new midpoint of $1.87 per share now represents a year-over-year growth expectation of 5.6%. And before we open the call to your questions, I'd like to highlight that 2025 is on track to be a perfect demonstration of the strength of the AMH strategy. Our relentless focus on portfolio optimization and operational excellence is expected to drive an impressive 4% growth in Same-Home Core NOI this year, while notably also expanding Core NOI margins. And on top of Same-Home, this year, we expect an incremental 160 basis points of Core FFO per share growth contribution driven by our prudent approach to capital management, including the balance sheet, capital recycling, and our development program. All told, our full year expected Core FFO per share growth now leads the residential sector by hundreds of basis points and once again demonstrates the power of the AMH strategy. And with that, we'll now open the call to your questions. We're out of respect for the crowded earnings calendar. We're going to limit the initial queue to only one question. To the extent we have time, please feel free to rejoin the queue for follow-ups. Operator?
Operator: [Operator Instructions] Our first question comes from Juan Sanabria with BMO Capital Markets.
Unknown Analyst: This is Emily on behalf of Juan. I wanted to ask you following the shift in your lease expiration strategy to front-load the expirations in the first half of the year, how has that change impacted occupancy and new lease trends in the third quarter? And as we move through the fourth quarter, how should we think about seasonality compared to last year in terms of both the new lease and blended rate growth?
Lincoln Palmer: Thanks, Emily, for your question. I appreciate it. We've done a lot of work this year on the lease expiration management program. As we mentioned in previous meetings, we spent most of the year making large shifts in expirations from the back half of the year to the first half of the year. It's playing out extremely well and about as we expected. As we moved out of third quarter and into fourth quarter, we're going to start realizing the peak of those benefits with the lowest number of expirations. That should allow us to build a little bit of occupancy into the end of the year and to set ourselves up well for 2026.
Christopher Lau: And Emily, Chris here, if you want to see how it's actually translating through in a couple of other places, knock-on benefits to our numbers. You can see that turnover rate was down, comping positively 60 basis points year-over-year in the quarter. That's a function of optimizing of lease expirations. And then in turn, that enabled the team to really execute well in terms of controlling the controllables. And as you can probably see from the print, R&M in turn for the quarter grew just a touch over 2%.
Operator: The next question comes from the line of Jamie Feldman with Wells Fargo.
Unknown Analyst: Thi's is Connor on with Jamie. The Midwest markets continue to outperform. Do you expect that to be sustained into year-end? And could this outperformance continue into 2026? Or would you expect some reversion between the Sunbelt and Midwest regions?
Lincoln Palmer: Thanks for the question, Connor. I appreciate having you on. We continue to see great strength in the Midwest. We think it's due to good underlying fundamentals. Midwest has a great quality of life, good cost of living, still relatively affordable from a housing standpoint. So we think the long-term fundamentals in the Midwest will continue to support the diversified portfolio in a positive way. It's possible that there could be some divergence between the different markets as we continue to resolve some of the issues across the different areas. But so far, we're very happy with the Midwest and it's contributed very well to the portfolio, and we don't expect that to change anytime soon.
Operator: The next question comes from the line of Eric Wolfe with Citi.
Nick Kerr: It's actually Nick Kerr on for Eric this morning. So a question on the same-store revenue growth. If you guys have done 4.2% year-to-date, it seems like you're implying a pretty big deceleration in 4Q. So I just wanted to understand what's kind of driving that decel, whether that's worse fee income, higher bad debt, just kind of the puts and takes there.
Christopher Lau: Sure. Nick, Chris here. Look, I think a couple of different thoughts come to mind from a timing perspective. The first of which has to do with the timing of last year's leasing spreads. And in turn, how those are earning into this year. If we all recall, blended spreads in the first 9 months of last year were running well north of 5% before moderating into the low 3s in the fourth quarter of 2024, which you can then see flowing through into our run rate of revenue growth by quarter this year. That's one. Two is timing of fees like we've been talking about all year. As we know, a good portion of our fees are related to leasing volumes, which we strategically have accelerated into the earlier parts of the year given the lease expiration management initiative, which is great in terms of aligning leasing activity with leasing season, but also means that fourth quarter fees will likely comp a little bit negatively year-over-year. And then finally, look, we are very aware that it's somewhat of a choppy residential environment out there. You can see it across many of the other residential peers reporting this week. And so we also just want to make sure that we remain prudent in the guide. But if we zoom it out and think about the broader context, I'd say that we are extremely proud of our full year top line outlook in the high 3s, 3.75% at the mid, which, as we all know, is head and shoulders above the rest of the residential landscape and especially impressive when you think about our expense growth in the low 3s, which I would remind us all means that we're expecting to expand NOI margins this year.
Operator: The next question comes from the line of Steve Sakwa with Evercore ISI.
Steve Sakwa: Bryan, I guess I wanted to come back to the comments you made about the fourth quarter. I appreciate the early color on October. But I guess you did make a comment that said you reached the seasonal low. So I guess you're sort of suggesting that November, December trends may be better, like these might mark kind of the worst monthly trends for the quarter. A, is that kind of the case? And then just when you kind of wrap everything together, could you or Chris, just maybe remind us about the puts and takes as we think about next year, either the one-timers that helped this year or some of the one-timers that might have hurt this year that might help growth next year?
Bryan Smith: Yes. Thank you, Steve. I was really trying to give commentary to put the performance into context. As we exited the Labor Day period, which is traditionally pretty slow, we normally see a pickup in September, kind of the second half of September. And that pickup was a little bit delayed. This is in terms of foot traffic and the other metrics that we're measuring from a leasing perspective. We saw that pickup in October, which gives us confidence in the momentum that we're carrying into November. And if you couple that with the strides that we've made on the lease expiration management initiative, where we're going to have our lowest number of move-outs in the month of November, it really screens well for us to pick up occupancy and position the portfolio well as we enter 2026. So I think you're right on in terms of our outlook for November and December having a really positive effect on occupancy with the objective of positioning ourselves well to take advantage of the returning pricing power that we'll see in next year's spring leasing season.
Christopher Lau: Yes. And then, Steve, Chris here for the second part of your question, I would totally underscore the importance of that momentum that Bryan is talking about carrying into the new year. We joke all the time that spring basically starts now heading into the end of the year. But it's just a couple of directional thoughts as we're all beginning to kind of frame things for 2026. The building blocks, like we've talked about before, if we think about the guide this year and our expectation for blended spreads in the back half of 2025, that would imply '26 earn-in somewhere just a touch under 2%. Most likely for next year, we don't expect loss to lease to play a major role in '26 revenue growth. And then the remaining question is market rent growth for next year, where, obviously, a little bit too early for us to express a view. But if you'd like an early read from, say, some of the John Burns data as an example, he's actually expecting market rents to reaccelerate a touch going into next year. His latest data for 2025 is that he was expecting market rents to grow 75 basis points or so this year. He sees that going up into the 1.5% to 2% area next year. I just give that as kind of a directional reference point with the reminder that we typically outperform Burns's average estimates within the AMH footprint.
Operator: Our next question comes from Haendel with Mizuho Securities.
Haendel St. Juste: I guess I'm curious how you're thinking about stock buybacks today versus what you're yielding in the development and the funding capacity on your balance sheet. I guess I'm curious if you're positioned to perhaps do both.
Christopher Lau: Sure. Appreciate it. It's a good question. It's Chris here. Look, stock buybacks are definitely something that we're watching very closely, and we look at them just like any other form of investment as we're ultimately endeavoring to maximize shareholder value over the long term. With that said, we are very mindful that stock buybacks can be a little bit of a double-edged sword as we think about them in terms of increasing leverage and then reducing future capacity to create value through incremental growth. But look, at the right levels, buybacks can definitely make sense. I would remind you that we have an active share repurchase program already in place. We have been active on it in years past at the right levels. And to your question about capacity, we have close to half a turn of opportunistic leverage capacity on the balance sheet. So again, I think the key is at the right price and appropriately sized buybacks could definitely make sense, again, at the right price as a complement to the value that's being created by our development program.
Operator: The next question comes from Jeff Spector with Bank of America.
Jeffrey Spector: Bryan, you talked about portfolio optimization. I know that you've had a number of initiatives underway this year, last year. Is there anything new or changing into '26 that we should be aware of that could further help whether it's grab again market share in terms of searches or AI, anything else that would be new, helpful, beneficial, I should say, next year?
Bryan Smith: Yes. Thanks, Jeff. You nailed a number of our initiatives. From an asset management perspective, we've become a lot more sophisticated in the way that we're analyzing our existing assets and the type of rigor that we're putting into the areas that we're optimistic about investing into and growing into in the future. So the asset management function has been -- has done a fantastic job of taking assets out into the disposition market and repositioning those into higher yield, higher growth areas. So we got that part of the equation. And then the initiatives that we're in the midst of rolling out, some actually already have rolled out from an AI perspective are going to further help that operational advantage that we see. So we started, as I've talked about in the past, with a focus on kind of the front end of the resident life cycle, which is the leasing cycle and implemented a really effective AI tool that not only is a better -- creates a better experience for the prospects, but it's also a lot more efficient for us internally. It was something that we rolled out, customized and are starting to see the benefits of it from our leasing platform. As we continue to think of other ways that AI can contribute in the near term, we've talked about improvements to the communication platform, which is helpful from a number of different angles, probably will show up most in the way that we renew, retain our residents. But the way that we're communicating with them spans the entire spectrum of the way that they order services and submit maintenance requests and really opens up kind of the next level of communication, which is a key preference from their side. There are a lot of other smaller initiatives that are coming through. But in terms of what we're going to look into next year, we'll see the full power of the improvements we've made on the leasing side. We've improved our access solution I think we've become more precise on where we're investing. This feedback is also supporting the importance of the diversified portfolio footprint and the focus on single-family detached. So there are just a number of good things that are going to continue to play out in 2026 from that perspective.
Operator: Our next question comes from Adam Kramer with Morgan Stanley.
Adam Kramer: I just wanted to ask about what you guys are seeing in terms of supply. And I think there's sort of a few different buckets of it, right, BTR supply versus what's happening in the existing home side, shadow supply, maybe what's happening with new homes from homebuilders as well. So maybe just what you're seeing in sort of each of those buckets? And maybe how does that compare to 6 or 12 months ago?
Lincoln Palmer: Yes. Thanks, Adam. This is Lincoln here. Look, we start with supply on a local level. I think it's easy to talk about it on a national level. But to get the real picture, we have to kind of zoom in a little bit to what's happening in each of the local markets. And we acknowledge that it's still difficult to find a lot of information that may be more available in other more developed platforms like the multifamily tools. But what we're doing is we're starting with our internal data. We're combining that with some external sources. We've got good information from publicly available stuff like Zillow and Burns and then some other proprietary sources that are flowing into our revenue optimization model. There definitely is an impact, I think, from the conversions of for sale to for rent. It's a little bit difficult to nail down exactly what that is, but you can see where that may be impacting our portfolio with a little bit of rate pressure and a little bit of occupancy. But we have a lot of markets that are still running extremely well. We talked about the Midwest a little bit earlier, some of our Western markets, Salt Lake City, Seattle, some of those are doing extremely well from a supply standpoint. It does seem that BTR and multifamily are off-peak deliveries. We'd expect those to continue to improve into 2026. The rate at which that happens probably depends a little bit on the level of demand that's in the marketplace, but we do expect it to get a little bit better.
Operator: Our next question comes from David Segall with Green Street.
David Segall: I was curious if you could provide any insight into the pricing for smaller portfolios in the market and maybe the opportunity set for consolidation in the space.
Bryan Smith: Yes. Thanks, David. This is Bryan. The pricing for smaller portfolios is relatively consistent with what we've seen on the MLS side and on the National Builder side. I think there's still a little bit of a disconnect with owners expecting to be able to get kind of end user homeowner pricing in terms of their market value expectations. So we haven't seen a lot of change there. What we've looked at is generally characterized by high 4 caps, maybe 5 at best. But there's still a little bit of a gap between their pricing and what we would need to be able to do anything at scale.
Christopher Lau: And David, Chris here. Pricing aside, like we've talked about before, looking forward, we're very optimistic on the number of those types of portfolio opportunities that are out there. And one of the things that we especially like about them is the ability to uniquely unlock value by bringing them on to the AMH platform, right, which is just what we have done and are doing, creating value in that portfolio we acquired towards the end of 2024.
Operator: Our next question comes from Linda Tsai with Jefferies.
Linda Yu Tsai: On the improved NOI margins in '25, how much of this is from lower churn versus operating efficiencies? Like what are you doing to improve upon controlling the controllables? And what does this trajectory look like as you move into '26?
Christopher Lau: Sure. Chris here. Why don't I start? And then if there's anything else that Lincoln wants to fill in from an operational perspective, he can chime in, too. I would say it's a function of a couple of different things. One, of course, it starts with good strength in the top line, solid and full occupancy in the 96% area this year, good strength in spreads over the course of the year in the high 3s, ultimately translating into the top line growing high 3s. Beyond that, it is very much a function of just, like you said, controlling the controllables on expenses. The team is doing a great job there executing over the course of the year. And for this year, we're getting a little help from timing of property taxes as well. So as we think about looking forward, I would say last year, 2024 and this year 2025 are both good examples of the opportunity that we've been talking about in terms of longer-term ability to continue to creep and grind margins higher, right, given the opportunity to continue to maintain strength in the top line. Longer term, we view this business as inflationary plus to the top line. And via all of the investments we're making controlling expenses, holding the line on expense growth at inflationary levels, maybe even a touch below as we execute really well, translating into continued opportunity for margin expansion year-over-year going forward. And again, last year and this year are good examples of margins creeping higher by tens of basis points per year.
Lincoln Palmer: Yes. Thanks, Linda. This is Lincoln. As far as the ops side of the business, one of the things we haven't talked about for quite a while is our investments in our Resident 360 program. I think what we're seeing now is some returns on those investments that are continuing to pay dividends. As part of that initiative, we realigned our maintenance functions with the local markets where there could be better decision-making more quickly, provide better service to the residents and hold vendors accountable to scope and cost. That seems to be paying some dividends. And then the other thing that seems to be working very well is we're finding some synergies between the purchasing skill sets in our new development program and our property management programs that are continuing to keep our costs under control. So overall, we have optimism that as we continue to focus on the business and improve the different areas that we'll continue to see improvements.
Operator: Our next question comes from Jesse Lederman with Zelman & Associates.
Jesse Lederman: I want to clarify the comments made earlier about reaching an inflection point recently. Was that for occupancy? I know you reached 95.1% in October. So are you expecting the inflection and improvement through the rest of the year exclusively for occupancy? Or do you expect that to translate through to accelerating rent growth as well, which would, of course, be counter seasonal? And then anything you're doing to spur the inflection such as increased incentives or concession on vacant units?
Bryan Smith: Jesse, this is Bryan. Yes. The inflection point commentary really was centered around what we're seeing on our dashboards from leasing activity. It starts with increased inquiries into our website, into our system, migrates into showings, applications and ultimately leases. The commentary included a commentary that October leasing was better than September. We're going to see that those effects in occupancy, especially coupled with, as I mentioned earlier, the lease expiration management initiative. So I would expect to see those benefits on the occupancy side. The rent growth will return in the spring leasing season next year, especially since we're going to be well positioned at that point. I appreciate you noticing too, on the concession side, we maintain this fantastic momentum on new development communities and getting those leased without the use of concessions. And then with the scattered site same home portfolio, concessions aren't a tool that we've employed. So what you're seeing is the actual pull-through results.
Operator: Our next question comes from Brad Heffern with RBC Capital Markets.
Brad Heffern: For the development program, can you talk about what the go-forward yield is today? And how do you see that evolving?
Bryan Smith: Yes. Thanks, Brad. This is Bryan. The yield for 2025, we talked about that at the beginning of the year, and the expectation was that it was going to accelerate from the low 5s in Q1 into the mid-5s for the year. As we got into the spring leasing season, we're really pleased with the results that we saw and hope that maybe the mid-5s maybe even a touch better. But in light of the general conditions that we saw kind of exiting September, exiting the third quarter, it looks like that mid-5s might be just a touch lower for 2025. It's a function of really just short-term changes in rents. On the input side, the team has done a fantastic job of managing costs. So we're delivering these houses at construction costs that are consistent, at least flat over 2024, which is especially impressive in this environment that includes commentary -- daily commentary on tariffs and a lot of other moving pieces. So the delivery from the cost perspective has been very successful. We're on track with our number of deliveries that we said at the beginning of the year. So the development team has done a fantastic job executing. What we're seeing on the rent side is temporary in nature. As we look forward, we have good visibility in the environment as to what we're delivering in Q4 and into Q1. And I'd expect those yields to kind of be consistent with what we're seeing now. As we get into the spring leasing season, hopefully, we'll be able to accelerate those rents.
Operator: Our next question comes from Jade Rahmani with KBW.
Jason Sabshon: This is Jason Sabshon on for Jade. So CapEx came in a bit lower versus expectations. So curious what drove that? Was it the level of construction activity in your markets with reduced activity from some of the builders, lower multifamily starts driving better pricing with trade partners. Any thoughts there? And if you'd expect this trend to continue, would be helpful.
Lincoln Palmer: Yes. Thanks, Jason. I think what you're seeing is a little bit of timing. There are some fewer move-outs in third quarter than there are in the first part of the year. So we need to keep that in mind. But overall, I would account most of the improvement to just continued vigilance in the stabilized portfolio to cost controls, controlling those controllables, which is our mantra in the back half of the year here. As I mentioned earlier, it's those impacts from Resident 360, the intentional focus on maintenance, the cooperation between the different groups in the company and probably a little bit of continued contribution of low-cost purpose-built single-family homes for our new development program that have lower cost profiles. So overall, I would call it intentionality that's driving that CapEx improvement.
Operator: We have our next question from Omotayo Okusanya with Deutsche Bank.
Omotayo Okusanya: Just curious if you could give us any thoughts on regulatory updates, especially as you're about to kind of go through an election cycle.
Bryan Smith: Omotayo, this is Bryan. From a regulatory perspective, it's been relatively quiet as it pertains to single-family rentals of late. We've internally taken the opportunity to get out and really tell our story with the local municipalities and government officials. And I think we've done a very good job of showing them what we're delivering into the communities, showing them that we're part of the solution from a supply perspective. And then you get a little bit higher level, there's just a lot of talk about federal government shutdown, immigration policies. From a shutdown perspective, we're really hopeful that our government leaders can find a solution quickly. In the near term, it hasn't had a lot of effect -- a direct impact on AMH. But we do have a couple of cases with some residents that have been affected, and we're working very closely with them to bridge those gaps. And then from an immigration perspective, we haven't seen any effect on the cost of our development program and the way that we're delivering the vertical construction cost, as I mentioned earlier. But over the long run, it's difficult to really put a finger on whether there's going to be any issues from a demand perspective for housing. So in a nutshell, it's been relatively quiet. We've been proactive in messaging and are just paying very close attention to what's going on at a macro level.
Operator: Ladies and gentlemen, that was the last question for today. I would now like to hand the conference over to the management for the closing comments.
Bryan Smith: Yes. Thank you for your time today. We really appreciate the continued interest in AMH and look forward to speaking with you next quarter.
Operator: Thank you. Ladies and gentlemen, the conference of American Homes 4 Rent has now concluded. Thank you for your participation. You may now disconnect your lines.